Joshua Drumm: Thank you for joining us to discuss Valneva’s Financial Results for the First Nine Months of 2024 and a Corporate Update. It's my pleasure to welcome you today. In addition to our press release and analyst presentation, you can find our consolidated financial results for the nine months ended September 30th, 2024, which were published earlier today, available within the financial reports section of our investor website. I'm joined today by Valneva’s CEO, Thomas Lingelbach; and our CFO, Peter Buehler, who will provide an overview and update on our business as well as our financial results. There will be an analyst Q&A session at the conclusion of the prepared remarks. Before we begin, I'd like to remind listeners that during this presentation, we will be making forward-looking statements, which are subject to certain risks and uncertainties that could cause the actual results to differ materially from those expressed or implied by these forward-looking statements. You can find additional information about these risks and uncertainties in our periodic filings with the Securities and Exchange Commission and with the French Market Authority, which are listed on our company website. Please note that today's presentation includes information provided as of today, November 7th, 2024, and Valneva undertakes no obligation to revise or update forward-looking statements except as required by applicable securities laws. With that, it's my pleasure to introduce Thomas to begin today's presentation.
Thomas Lingelbach : Thank you, Josh. It's a pleasure to welcome you all to today's call. What are the highlights for the first nine months, 2024? Overall, the company's performance is in line with our guidance. When we look at product sales, which landed at a bit more than €110 million at the end of the nine-month period, and given the slow uptake of IXCHIQ in the US market, we have narrowed our guidance to €160 million to €170 million, and Peter will provide more details on that. With a cash position of more than €150 million, we consider the company well-financed. And when we look at the R&D, we had a very strong R&D execution year-to-date. Of course, most importantly, with Lyme going 100% according to plan, Chik adolescents data that came in as expected and on time, pediatric and persistence data for Chik as well, and we presented our long-term R&D strategy at the Investor Day in New York recently. We continue to perform strongly on our scientific positioning, but also on the partnering front. Many very interesting publications in renowned journals like the Lancet, our partnership with CEPI supporting Chik development, and more recently, the partnership with LimmaTech on a very exciting Shigella program. Turning to Page 5 of the presentation and looking a little bit into the midterm of the company, it is fair to say, and Peter noted this in his quote of today's press release, that we are approaching next year really a turning point in Valneva's evolution. We are targeting sustained profitability from 2027 onwards, driven by success of the Lyme disease vaccine program, if successful and approved, of course. As mentioned, we are on track with regards to the Phase III study and regulatory filings in 2026, with first approvals in initial Phase in 2027, which then would immediately trigger the development milestone payments, and hopefully then later, the royalties and the sales milestones. Of course, in the short term, our focus is besides on R&D execution to focus on growing our commercial sales. Despite of the slow uptake of IXCHIQ in the US market, we remain confident in the long-term IXCHIQ prospect. I believe it's a great product, and we, of course, will carefully review the uptake in the coming months, especially since we will see the developments in the US, but also in Canada, first European countries, and we will have a better understanding about the demand from existing and expected future LMIC partners where chikungunya is endemic. We expect that our commercial business overall, with improved margins, would generate cash again from 2025 onwards, and this will be achieved by combination of top-line growth, but also efficiencies on the bottom line. And of course, we will continue building for the future by advancing an attractive and differentiated R&D pipeline. Just by way of reminder, what we discussed also at the R&D on Investor Day, we have on the one hand side the mandatory R&D, primarily focused around Chik development, Phase IV, and Phase III pediatric, which is financially supported through the CEPI grant. We would like to advance our programs around Shigella and ZIKA. Both programs are supported by risk-mitigated development strategies and thus allow an efficient capital allocation based on very defined progress data points. And as announced, we expect next clinical entries, mainly from our own proprietary preclinical pipeline post-Lyme licensure in 2027. All of that is reflected in our pipeline slide. We believe that we have besides very, very unique commercial assets, a very interesting and very coherent pipeline all the way from preclinical to late-stage clinical development. All targets that you see here, all programs that you see here are very unique. In every single program, we are either most advanced, hence first-in-class, best-in-class, or only-in-class at all. And this makes us proud to contribute to a world in which no one will die or suffer from a vaccine-preventable disease. Turning over to Lyme, I think the most important thing to note is that we updated on Page 9 a little bit the medical need and related market opportunity. This is a slide that you saw as part of the Investor Day. By way of reminder, there's no vaccine currently available to prevent Lyme disease in humans. You see the annual burden of disease. And these are the most recent numbers for the US and Europe, acknowledging, of course, that European numbers are probably significantly underreported, equally true for the US, but probably not at the same scale. You know, 10% to 30% of cases develop severe manifestations, be it carditis, neuroborreliosis, arthritis. And you have another 5% to 10% on the persistent symptoms. And those cases continue to have persistent symptoms following even treatment. And this then turns also in a commercial opportunity, if you think about the fact that more than 80 million US citizens live in areas which are considered endemic. And according to CDC, those are areas with incidence rates about 0.5% of Lyme cases annually. And in Europe, even more than 200 million people. So, therefore, we are very confident in our estimation of more than a billion in terms of a potential vaccine market. I don't need to go again into all the features of our very unique and differentiated Lyme disease program. I think the key updates here are that, of course, we have fully recruited the Phase II when it comes to primary vaccination. We have still one last round of booster vaccinations ahead of the 2025 tick seasons to go before we can have the first readout at the end of next year. And we are absolutely on track for the Phase III trial conclusions. And, of course, we mentioned already in prior calls and Peter will reemphasize that we have completed our cost contributions to the development activities with our partner Pfizer in the first half of this year, which, of course, has a very positive effect on our cash burn. And we recently reported the two-year antibody persistence and booster results in line with our expectations. Slide 11 shows the VALOR study design. Close to 10,000 people, one-to-one randomized against placebo, two-to-one and North America versus EU. Please remember primary endpoint rate of confirmed Lyme disease cases after two consecutive tick seasons. And when you look at the chart below, you see the green syringes versus the black syringe. And the black syringe is exactly the last outstanding vaccination activity that is needed before then the primary efficacy readout is expected towards the tail-end of 2025. So, overall, as mentioned, very pleased with the collaboration, very pleased with the program, and very confident in the program and its readout and basically everything on track for the end of next year. Turning to chikungunya, our famous product IXCHIQ, the world's first and only chikungunya vaccine today, it built on key differentiators. It has shown a very strong and a very persistent immune response with only one dose. And here is where this product differentiates, including the fact that we have also shown very strong immunogenicity in elderly, which, just by way of reminder, is the main target population for this vaccine, according to the ACIP recommendation. And that's basically the status on the product profile. When we look a little bit into all the milestones that we have achieved, everything is focused on expanding access to IXCHIQ globally. Our Phase III adolescent trial shows strong safety and immunogenicity profile up to six months. Those submissions for label extensions have either been already done or are close to be done. We have published long-term antibody persistence results up to 24 months, already. And please remember, this study is going on for up to 10 years. So, our objective is to monitor antibody persistence to up to 10 years. We have achieved also already first Phase in Canada, where we had very recently a very nice launch, and we are preparing to launch in France as the first European country. Other upcoming and near-term catalysts include the expected approval for IXCHIQ in Brazil and the UK. I mentioned already the label extension activities, for which we are really expecting then labels to be updated next year. We are very close to report the three-year antibody persistence results, hopefully still this side of Christmas, but could come also very early next year, depending on how fast we're going to be on all the readouts. And then the Phase II pediatric trial top line results, same thing, either very late this year or very early next year. And we are still working on getting into a partnership for Asia, and to augment our existing LMIC partner network that currently consists out of Butantan for Latin America, primarily with a strong partner for Asia. And there are, of course, major upcoming and future opportunities to capture and drive greater penetration. The first point is focused on the US, so we are still waiting for the MMWR publication, and we expect this to drive primarily retail growth in the U.S. It's one of the key expected growth drivers to get to an acceptable and promising growth trajectory for the United States. And then, of course, with the launches in Europe and the expansions in Canada, we expect major growth drivers for next year. We also expect additional ACIP and European recommendations. There are already some countries in Europe that have based recommendations, Austria being one example. We further expect travel software protocol updates. I mentioned already the label updates for IXCHIQ, which include always antibody persistence, but also the age range, the LMIC approvals, the additional partnerships, and our continuous discussions with the US Department of Defense. All those key opportunities will drive access and penetration, and hence, safe growth. When we look at the Shigella program, as mentioned at the beginning, it is the world's most clinically advanced tetravalent Shigella vaccine today, and we have exclusively partnered this program with LimmaTech Biologics. It's tetravalent bioconjugate vaccine with potential to cover up to 85% of shigellosis infections, and that's a very important one, given that Shigella is really a life-threatening disease. The global market is expected to exceed $500 million annually, and this number has been substantiated through an independent market assessment conducted by LEK with key segments including travelers, military, but also endemic countries. And I think that's a very important segment for this vaccine, especially children in LMIC countries, where shigellosis is the second leading cause of fatal diarrhea, and we see up to, estimated 165 million cases and more than 600,000 deaths annually. Therefore, Shigella has also been identified as a priority vaccine by WHO. When we look at the development execution and the upcoming milestones, very close to initiate the Phase II CHIM study alongside with the pediatric study under Phase II protocol, those two studies will be conducted by LimmaTech, and initiation is still expected this side of Christmas, and Valneva is already in the transition to assume full accountability and responsibility, be it on the R&D, CMC, regulatory side of things. So we are working hand-in-hand with LimmaTech right now, and we are very grateful to our colleagues at LimmaTech for the very smooth and very constructive collaboration and transition. We reported recently that this program achieved FDA's Fast Track designation. And when we look a little bit into the development plan for this program, and I mentioned a couple of times that this is a very interesting risk-mitigated clinical development strategy supported by multiple catalysts and decision points on the way towards licensure. This Phase II first CHIM study that I mentioned is a CHIM study where we challenge against sonnei. It's about to start imminently, then it will be followed by a second Phase II study where we're going to challenge with Flex 2a in this case. And those two controlled human infection models will give us a very interesting prospect on the expected potential efficacy of this vaccine. While at the same time we run immunogenicity studies in children in LMIC, and you see the bar here that shows Phase II Global Health, which is the immunogenicity study in children that I was talking about earlier, which will then be followed by a small bridging study in European or US children before we go into a large-scale Phase III study in LMICs for children. And on the adult side you see in red that we expect licensure by challenge, meaning controlled human infection model flanked with a safety and immunogenicity study to ensure the necessary safety database, and all of that is successful and if executed on time, and according to plan, first approvals could be expected in the 2030-2031 horizon. Couple of key results from the LEK study. When it comes to the total vaccine market for a potential Shigella vaccine, and here you see the three segments that I mentioned before. We have looked at recommendation, acceptance, and vaccination, and you see the typical waterfall model that we apply for other travel vaccines, and here you see that, you know, you see a very potential, segment, also only about 23% of the total estimated market, probably in that area. Then children in endemic and representing around 76%, and then military, a certain portion and that's the current hypothesis that we have when it comes to the market opportunity for this vaccine. And again, pointing to the travel opportunity, here we estimate that the market is dominated by the United States with €80 million to €85 million coming from the US alone. Yeah, with that, I would like to draw your attention on our Zika virus vaccine candidate. You may recall that this is a candidate, we call it internally VLA1601, which is an optimized second-generation vaccine candidate against the Zika virus, and we are well in the Phase I, and we are currently executing this study according to plan. This is a very interesting candidate because we fully comply with one of the desired target product profiles that were published by WHO. It leverages an existing platform that we have, namely a platform that we originally developed for a IXIARO, but then substantially enhanced and scaled up for our COVID vaccine development. So it's a like-for-like process that we apply here, so therefore it is also suited for large-scale manufacturing. And Zika is coming back, is maybe the simple message here, and we all remember that Zika infections, especially in pregnancy, can have very devastating effects, and there are no vaccines or specific treatments available. To our knowledge, we are currently probably the only company with an active clinical development program at this stage. The Zika vaccine development or the disease area is PRV-eligible, and we know that there are currently many public institutions looking into potential funding mechanisms. We expect, in the first half next year to have Phase I results, but also a better insight with regards to market opportunities, potential access strategies, but also some decisions on potential external and non-dilutive funding. So, in a nutshell, overall, we are very confident in not only our commercial business, but also in this prospect, but also, and most importantly, on our R&D pipeline and its prospects and major catalysts, specifically Lyme, at the end of next year. And with this business update, I would like to hand over to Peter to provide you with the financial report.
Peter Buhler : Thank you, Thomas and good morning and good afternoon, to all of you. So, moving to the financials of the first nine months of 2024. Product sales reached €112.5 million, and on a comparable basis grew 12% over the prior year. Including last year's sales of the COVID-19 vaccine, sales increased by 6%. The impact of currency fluctuation on a year-on-year basis is negligible. Total IXIARO sales reached €66 million and increased 31% over the prior year. The strong year-over-year growth was driven by a double-digit year-over-year growth rate in both the travel segment and US military. DUKORAL sales increased year-over-year by 6% and reached €22.3 million in the first nine months of 2024. In the third quarter, DUKORAL sales grew by 85%. As discussed in our half-year results release, we had limited DUKORAL related marketing investment at the beginning of the year as we anticipated supply constraints in our manufacturing facility in Sweden due to regulatory inspections. In terms of our ongoing launch of our new chikungunya vaccine, IXCHIQ, we report sales of €1.8 million by September 30th in the United States. The ACIP recommendation for IXCHIQ was adopted by the CDC in March this year, and as Thomas mentioned, we are still awaiting the MMWR publication. In line with our expectations, third-party products declined by minus 23% year-over-year to reach €29.1 million, primarily as a result of supply constraints. Moving on to the income statement, total revenues reached €116.6 million versus €111.8 million in the first nine months of 2023. Looking at expense, we observe a decrease in cost of goods and services from €74.8 million in the first nine months of 2023 to €71.3 million in the current year. IXIARO gross margin reached 58.8% of IXIARO product sales compared to 47.2% one year ago. DUKORAL generated a gross margin of 34.8%, while third-party products yielded a gross margin of 32%. The total gross margin excluding IXCHIQ reached 48.6% compared to 43.7% in the first nine months of 2023 and 47.7% at the end of June. It is important to note that the total gross margin is also adversely affected by IXCHIQ-related overhead costs, as well as idle costs related to our new manufacturing site. Research and development expense increased from €42.2 million in the first nine months of 2023 to €48.6 million in the current fiscal year. That increase mainly relates to tech transfer costs for the transfer of our IXIARO and the IXCHIQ manufacturing operations to our new Almeda site in Scotland. In addition, our pre-clinical spend marginally increased over the prior year. Marketing and distribution expense increased year-over-year by approximately 5% to reach €35.7 million. The increase is related to the launch costs related to our IXCHIQ vaccine that also include higher people costs as we expanded our commercial team. G&A expense decreased by 7% year-over-year to reach €32.6 million. The sale of the PRV generated an income of €90.8 million, while other income reached €14.9 million versus €17 million in the prior year. Other income primarily consists of grant income and R&D tax credit. Operating profit is reported at €34.2 million versus an operating loss of minus €57.2 million in the prior year. Adjusted EBITDA improved from minus €46 million to positive EBITDA of €48.6 million. As mentioned at the beginning of the presentation, our cash position at September 30th is reported at €156.3 million, and it is worth highlighting that our cash use in operating activities decreased significantly from €136 million in the first nine months of 2023 to €76.3 million in the prior year. Now moving to Slide 26. During our Investor Day in New York, we provided a view on traveler’s data traveling to Japanese encephalitis or chikungunya endemic regions. The information on this slide is based on IATA data from August 2024. As the graph illustrates, we see the number of travelers to chikungunya endemic countries in 2024 is anticipated to be above the pre-COVID period, while travelers to JE endemic countries are still slightly lower. More importantly, the forecast data shows the number of travelers are expected to grow significantly over the coming years, with an anticipated growth of 22% for travels to Chik endemic countries by 2030 and nearly 30% for JE endemic countries. With this, let's move to Slide 27 to look at our guidance for the current fiscal year and the outlook beyond. For the current fiscal year, we narrowed our product sales guidance to €160 million to €170 million and total revenue guidance to €170 million to €180 million. Other income, including the proceeds from the PRV, is expected to reach between €100 million and €110 million, and the R&D expense are expected between €65 million and €75 million. In the midterm, we continue to expect growth from IXIARO and DUKORAL. As for the IXCHIQ sales expectations, we will review our midterm guidance in the coming months, taking into account the sales trend in the United States and early signals from the sales ramp up in Canada and first EU countries. With this, I hand back, the call back to Thomas for the news flow.
Thomas Lingelbach: Thank you so much, Peter. Yeah, wrapping up with the summary of our key upcoming catalysts and news flow. On chikungunya, we have the upcoming potential approvals by Anvisa for Brazil and MHRA for the UK. As mentioned, the 36-month antibody persistence data for IXCHIQ and the initiation of the Phase IV clinical program, for which we have now poor alignment on its final detailed design and execution considerations. For the Lyme disease vaccine, the final booster dosing, as mentioned earlier, mid-2025, latest to be completed in line with the Lyme seasonality. Then, of course, we have the continuous monitoring for Lyme disease cases, and we will conclude on all of that towards the end of 2025, which then will enable submission to the regulatory agencies in 2026. Of course, subject to positive Phase III data, the initiation of the two Phase II studies for Shigella vaccine, still this side of Christmas, and the report of the Phase I data for our second generation Zika vaccine in the first half of next year. And one thing that we didn't talk about, but I would like to reemphasize here is we continue to see a very good uptake of IXIARO in the DOD. We expect the RFP for the next contract to be issued imminently. And with that, of course, a new contract with the DOD in the next six months. And with that, let me draw your attention on also the near and midterm value drivers. I think the most important one is certainly VLA15, our Lyme disease. It's the major catalyst for Valneva. It is probably the most important or likely the most important upside that we see for Valneva in the short to midterm. And on the back of Lyme, we expect this company to really transition into sustained profitability initially coming from the early milestones that we expect in 2027, and then followed by the royalties. And of course, with that, the entire value proposition of Valneva is expected to change in the near term. The commercial revenue growth with a strong focus not only on our existing brands, but also on IXCHIQ, where I would like to reiterate that despite of a slow uptake in the US this year, we have strong prospects for this vaccine across all the different markets, mainly North America, Europe, and LMIC countries. And we are absolutely excited and thrilled about the potential of our future pipeline programs, including Shigella but also Zika and the programs that we have currently in preclinical development that are expected to enter the clinic upon successful Lyme execution and approval in 2027. And with that, I would like to conclude our report and hand back to the operator to take your questions.
Operator: Thank you. [Operator Instructions] First question comes from Maury Raycroft at Jefferies. Your line is open. Please go ahead.
Maury Raycroft : Hi, good morning. Congrats on the pilots and thanks for taking my questions. Maybe first one, I'll just start with IXIARO. You mentioned expectations for new orders in 2025 and you're seeing good uptake with DOD. Is there anything more you can say about that, including where the orders could be coming from and what the amounts could look like for next year?
Thomas Lingelbach : So basically, on IXIARO, Maury, you know that when we exclude the one year where the military built additional stocks, which was, I think, 2019, all the other years with the DOD have been pretty stable. And when you calculate, in some years we gave details of the military and other years we did not. But you know that overall, you can calculate the demand of give or take 200,000 doses. And then it depends a little bit on the supply demand pattern because sometimes they keep higher stocks and lower stocks. And I think at this point in time, noting, of course, that a new government may have different views in terms of military personnel stationed in Southeast Asia. But at this point in time, and given that it is a mandatory vaccine for those parts of the troop, we expect this overall demand to be pretty stable at that level. And we expect that the RFP that will be for the next kind of request will also point in this direction. So that's our expectation right now on IXIARO and the DOD. And of course, we are in very active dialogue with the DOD on chikungunya as well. So we've seen that they issued a preliminary recommendation for IXCHIQ. But we are not yet at the point where they have decided whom to vaccinate, when to vaccinate. And that's something that we certainly expect to come next year.
Maury Raycroft : Got it. That's helpful. And maybe a question related to IXCHIQ. I'm just wondering if you have a better sense of when the MMWR publication update could occur. And if you can remind how the publication will be leveraged with payers and stakeholders and how that could translate for the opportunity?
Thomas Lingelbach : Yeah. So we expect the MMWR release is something where I think timing-wise, we don't feel comfortable making any promises. We had hoped to see this already months ago. You know, there is, when you look historically for other vaccines, how long it took, sometimes it was very fast, sometimes it took a long time. We certainly expect the MMWR release to be the major driver to allow us accessing the retail channel in the US. And we expect, and this is one of the big learnings probably for us. We certainly see that retail becomes more and more important in the US and especially given the very high cost that someone would need to pay in two other channels. And therefore, you know, this is one of the identified key drivers amongst, of course, a few others that we have identified.
Maury Raycroft : Got it. And is that something you think could happen in 2025, the publication coming out?
Thomas Lingelbach : Yeah, yeah. So I think, I mean, we said earlier in one of the prior calls, and if I recall correctly, even in New York, we said that we expect it by year end. But as I said, it's a little bit out of our control. There is nothing we can do about it. But it's certainly one of the pieces, let's say one of the missing pieces that we are still looking for.
Maury Raycroft : Understood. Okay. Thanks for taking my questions, off back in the queue.
Operator: Please stand by for your next question. The next question comes from Suzanne Van Voorthuizen at Van Lanschot Kempen. Your line is open. Please go ahead.
Chiara Montironi: Hello, this is Chiara Montigoni on behalf of Susan. Thanks a lot for taking my question and congratulations for the update. I had one question on IXCHIQ. I was wondering if you could give me more color on why the sales have not grown in Q3 compared to Q2. And what could explain that after reporting positive trends on other commercial metrics?
Thomas Lingelbach : Yeah, it's a good question. So basically, partially it has to do with what we have in the channel right now. And so what is actually the product that we have really shipped and sold to distributors and this is one component to it. The second part is that we are really not seeing at this moment in time, let's say, the uptake that we -- or let's say that we didn't see the uptake at the end of the third quarter. I think we are now at the end of November. The situation has certainly improved. And so we are confident that we are now going into a better growth trajectory. But there are many elements that we need to monitor very, very carefully. And as I said a couple of times, it's a bit too early at this point in time to really draw conclusions on all of that. So we have given ourselves until the mid of the year in order to ensure that we get to the right level of understanding.
Chiara Montironi: Okay, thank you so much. So basically, you will give guidance, let's say, in six months or more.
Thomas Lingelbach : Yeah. I think, yeah. So basically, in other words, we have said, we have given a midterm outlook of anticipated €100 million product sales for IXCHIQ three years after launch. We have the pre-launch period right now, or the initial launch period ongoing in Canada. We expect to launch in France. And we will gain very good understanding about the LMIC demand in the first quarter next year. So this will help us to better understand the, let's say, the midterm prospect of this vaccine and whether our hypothesis on the S-curve. And you may recall that we discussed the S-curve and that all travel vaccine states uptakes in the history have followed a certain S-curve. But we have, of course, taken certain base assumptions on this S-curve progression, whether they hold still true or whether we need to update our midterm guidance. At the same time, it is very clear that we continue to see no reason to update or change the long-term prospect of the product.
Chiara Montironi: Okay, got it. Thank you so much.
Thomas Lingelbach : You're more than welcome.
Operator: Please stand by for your next question. The next question comes from Ed White, HC Wainwright. Your line is open. Please go ahead.
Ed White: Hi, thanks for taking my question. I didn't hear any update on VLA2112 for Epstein-Barr Virus. I was just wondering if you can give us an update of where you are in development there and your thoughts moving forward.
Thomas Lingelbach : Yeah, so good question. I mean, we provided an update on our EBV activities at the Investor Day in New York. It's our leading program in preclinical today. We are currently evaluating in vivo, in vitro different antigen composition. And we are expecting to conclude on the, say, the lead vaccine design next year based on all those experiments with the objective to really build what we call a differentiated EBV vaccine. We hope to learn also from others because there are a couple of data readouts expected from other companies working on EBV with either a more traditional gp350 approach, but also an approach that includes another antigen. And so all of that is working according to plan and going according to plan with our expected clinical entry as we suggested, or as we presented in 2027. Of course, there's always a point for us to accelerate clinical entry. So we would like to be ready for clinical entry probably towards the latter part of 2026, mid-to-end 2026, and then decide, you know, subject to capital capacity at the time when actually to start the clinical entry.
Ed White: Okay, thank you. And perhaps a question for Peter. You had mentioned that R&D expenses were up due to the transfer costs to Scotland. I'm just wondering if these transfer costs will continue into the fourth quarter and into 2025, or if they're behind us now?
Peter Buhler: Yeah, this will still continue into 2025, and then basically end early 2026. So we will first transfer the IXIARO vaccine over to Almeda, and then followed by IXCHIQ.
Ed White: Okay, thanks for taking my question.
Operator: Please stand by for the next question. The next question comes from Rajan Sharma at Goldman Sachs. Your line is open. Please go ahead.
Rajan Sharma: Hi, thanks for taking my question. I've got a couple of one on margins and one on IXCHIQ. Just on IXCHIQ, I know you've kind of discussed it a little bit on the call, but could you just kind of help us understand what's changed from the Capital Markets Day in October when you sort of reiterated that midterm guidance? Has there anything kind of materially changed since then, or is it just kind of your latest view on trends, particularly in the US? And then maybe one for Peter on gross margins. Could you just discuss those idle costs that you highlighted and how that evolves through this year and into next year, and to what extent that kind of continues to be a factor on margins? And then I think you said around 59% gross margin on IXIARO. Do you think that remains stable from here? Thank you.
Thomas Lingelbach : So let me start with the first question on the IXCHIQ prospect. I would say at this point in time, we are, as I reported, or as Dipal also presented at the Investor Day, we are monitoring month to month certain performance indicators that could be predictive for uptake. And this includes order, this includes reorder. But we were expecting, I would say, a deeper uptake towards the latter part of the year as compared to what we are seeing right now. And that's probably, and this is indicative, this is not definitive. And therefore, we have kind of said at this point in time, the uptake is slower than anticipated. And that's why we have to continue monitoring the situation throughout the first half of next year. And then, only then, we will have an informed basis and can take an informed decision as to whether our midterm expectation from this product is still right at about €100 million or not. And as I mentioned during the call earlier, we have the Canada launch that very, very recently started. We have Europe getting on stream with France as the identified and prioritized country. And we should not underestimate the significant demand that we are expecting from LMIC countries, for which we have at this point in time, some visibility, but still rather limited visibility. And all of that is expected to help us taking an informed decision on midterm guidance for the product around mid next year.
Peter Buhler: And so, to your question on gross margin, Rajan, so first on the IXIARO gross margin. So, when you look at our half-year result and you look at our Q3 result now, our year-over-year, our full-year gross margin for IXIARO improved by more than one percentage point, which shows you the direction this goes into. So, we gradually improved the margin every quarter, and we expect this trend to continue. As you know, we experienced some issues in manufacturing, and we lost a batch in Q1. But we will and so, this is now behind us. And what we also see is actually yield is increasing compared to what we saw in prior years. When we go to idle cost, we have our new beautiful manufacturing site in Scotland, where as we just said before, we're gradually transferring over now to manufacturing, first of IXIARO and then followed by IXCHIQ. And so, we do see idle costs going down over time, of course, as we transfer over to the new site.
Thomas Lingelbach : Yeah. And just maybe to add on and complement what Peter just said, we are -- and this goes back to a question that Ed raised earlier, so we expect all those transfer activities and transition activities to continue well over the course of 2025. And then, when we come into 2026, we will have a situation where everything will be in our brand-new large-scale manufacturing facility. And basically, the old facility will not be needed anymore at that point in time. And that's a unique opportunity for us, because then we are really set also from a manufacturing standpoint for the long-term future and in a setting that allows even the cross-margin to further improve.
Rajan Sharma: Okay. Thank you. And maybe, Peter, if I could just follow up on the one point on IXIARO. So, it sounds like you expect kind of continued gross margin increase from here. Is that fair? And in that case, is it likely to be linear?
Peter Buhler: Well, it will increase. Whether it will be totally linear, I can't comment, of course. But like we said in the past, we expect the IXIARO margin to continue to improve and over time to get back to where we were pre-COVID.
Rajan Sharma: All right. Thank you very much.
Operator: Please stand by for your next question. The next question comes from Samir Devani at Rx Securities. Your line is open. Please go ahead.
Samir Devani: Hi, guys. Thanks for taking my questions. I think I've just got a couple on the numbers. I think you mentioned that you're hoping that the commercial business will be cash generative next year. And I guess I'm trying to understand how much of your G&A spend is attributable to the commercial business. Maybe if you can give us a bit of on that. And then the second question is just on you've outlined the plan for the Shigella development and Phase III starting in 2027. I was just wondering if you could let us know how much is the cost of that Phase III development program? Thanks very much.
Peter Buhler: So, let me take the question on commercial business cash generative and then the G&A cost. So, we try to keep it relatively simple. And the way we look at our G&A cost is we allocate about 40% on to commercial. And that's how we determine the profitability then. And then the second question, Thomas?
Thomas Lingelbach : You asked a question about, if I understood you correctly, you are talking about the entire Phase III program for Shigella, correct? So both or all the Phase III programs and trials together, is this what you had in mind?
Samir Devani: That's right, Tom. I guess I'm asking in the context of you've indicated sustainable profitability from 2027. So, in light of that, I guess.
Thomas Lingelbach : Yeah, absolutely, absolutely. So, now if we look at the -- so, what is our current working hypothesis? Our current working hypothesis is that we will have the two Phase III CHIM study, Phase III immunogenicity and safety study. And we will have a Phase III field efficacy study in infants. So, whether they will be initiated all three in parallel, whether there will be a sequence, whether there will be a staggered approach, it all will depend on the, I would say, the situation coming out of the Phase II CHIM studies. The further assumption that we are currently taking is that the Phase III study in the field efficacy study in infants will be fully funded by a public institution. And so that we will, as Valneva, pay for the respective Phase III studies. We have at this point in time a rough, rough ballpark estimate. But since we have not agreed the detailed trial design with the authorities, I do not feel comfortable giving a number at this point in time. What I can assure you is we will manage and stagger all of those activities in a way that we are fully committing and reconfirming that in the success state of Lyme, this company will be sustainably profitable from 2027 onwards.
Samir Devani: Okay. That's great. Thanks very much.
Operator: There are no further questions, so I'll hand back for closing remarks.
Thomas Lingelbach: Thank you so much for your great questions, as usual. Thank you for your time. Thank you for following us. And we wish you all a wonderful remainder of the day. Bye.